Ingela Ulfves: Good morning, everyone, and welcome to our joint webcasted News Conference on Fortum’s Third Quarter 2021 Results. This event is being recorded and a replay will be available on our website after this event. My name is Ingela Ulfves and here -- with me here in the studio today are our CEO, Markus Rauramo and our CFO, Bernhard Gunther, who together will present our third quarter and nine months figures. After the presentation, we will be ready to take questions from the teleconference. So with this, I now hand over to Marcus to start. Please go ahead.
Markus Rauramo: Thank you very much, Ingela, and good morning also on my behalf. Welcome to our nine month 2021 results call. After a first look on the headline performance indicators, I will go to the market drivers that have played a substantial role this quarter, with outstanding movements in commodity prices, especially in gas. I will link this with our overall operating performance. Additionally, I will talk about how we are progressing with implementing our strategy and my view on our operating environment and then hand over to Bernhard, to walk you through the numbers in more detail. I start with setting the frame looking at the headline KPIs. This quarter definitely was a rather extraordinary one, volatile, characterized by market fundamentals. At the first glance, we have a very strong group performance across the headline KPIs in the third quarter and first nine months. Starting from the balance sheet. Most importantly, our leverage defined as financial net debt to comparable EBITDA has come down tremendously. We have substantially worked to strengthen our balance sheet, following the sale of our 50% stake in Stockholm Exergi and our district heating business in the Baltics, we are way below our set leverage targets of below 2 times, which is paving the way for growth in clean energy and gas, as highlighted in our December Capital Market Day. In Q3, earnings could take profit from the strong increases in energy commodity prices that are supported by the ongoing economic recovery and constrained supply, reaching multi-year, a new record highs during Q3. Q3 profit was operationally strong across the segments. Nearly, all business segments are up year-on-year and could take profit from this development. But let me also highlight that it has been a challenge for the whole organization to deal with this market development, especially when it comes to maintaining security of supply for our customers and to keep financial liquidity high in order to finance cash requirements for collaterals caused by raised rising prices. Those of you who have followed the Uniper call last week, know that Uniper took a series of financial and operational measures, including some group support to safely navigate through this situation. To me, it shows that we are, as a combined group, even stronger than before. Those measures are also reflected in the operating cash flow that tripled in the isolated quarter and doubled in the first nine months. Bernhard will give you further insights in the financial section. Looking at the nine month earnings figures, we see a substantial increases despite the fact that there are some consolidation effects at play that must be considered. On one hand, Uniper was fully consolidated starting from Q2 last year and has been included as an associated company still in Q1 2020, comparable EPS for the first nine months 2020 also included the Q4 2019 Uniper associated result. On the other hand, there are facing effects at work in the Uniper segment caused by the strong increase in carbon prices, shifting profits into the last quarter. Even taking this into account, it has been an extraordinary quarter. To sum it up, stronger performance in a volatile commodity market with an organization giving it's best serving our customers, working closely with our suppliers and maintaining a strong financial flexibility. Now over to the market fundamentals. Despite recent concerns about rising inflation, and uneven access to COVID-19 vaccines, global economic recovery continuous with the IMF forecasting 5.9% growth in 2021 versus 3.1% contraction in 2020. Energy commodity prices soared in Q3 supported by ongoing economic recovery and global supply constraints, especially in gas. Higher demand combined with longer term negative investment trends and long-term, short-term supply constraints created an unprecedented price rally. In course of the Fortum, the gas market moved from oversupply to tightness and uncertainties ahead of winter sent gas prices to unchartered territory. Initially driven by supply limitations, coal prices were soaring on advancing demand recovery, and bullis [ph] energy commodity complex. At the same time, CO2 -- CO2 prices continued to be supported by Europe's climate ambition, and EUs fit for 55 package. Consequently, gas coal and carbon prices underpinned the very strong price development in the European power markets. Continental power prices have given a boost to Nordic spot price, which was also supported by low precipitation and less wind available. The spread to German power prices, however, is nevertheless quite large, especially in forward prices. Besides strong wind build out internal transmission net and interconnector restrictions and bottlenecks had an impact on the widening spread. But next to the pure market fundamentals, there is a another dimension. The high energy prices are a concern to end customers having problems to cope with their utility bills, which is ultimately increasing the risk for political interventions. Additionally, the high energy prices are a threat to the economic recovery. Looking at the forwards, the market expects the tight situation to continue throughout the winter. But forwards are at a more moderate level after the winter. For the Nordic market, my read is that the situation is by far not so severe, as in continental Europe as power prices are still on more moderate levels. And because gas is not playing that often an important role in the Nordics. The gas market is the backbone for the energy supply in continental Europe. As this is a mature market and well supported by gas storages it can normally digest major swings in supply or demand. In just one year, energy commodity markets did a 180 degree turn from oversupply to tightness. Last year over supplying gas was exacerbated by COVID-19. But first signs of economic recovery in late 2020, early 2021 combined with cold last winter, lifted prices and future demand expectations. Then demand recovery continued but supply continued to lag behind. In Q3, supply tightness took center stage, making upcoming winter increasingly uncertain, and accelerated commodity prices. LNG supply has a major impact on EU gas prices. Europe acts as a global LNG market balancer, with imports rising strongly when the global LNG market is loose, and vice versa. Strong demand in Asia and Latin America pull volumes away from Europe this year, leaving European LNG imports 26 and -- 23% and 26% lower compared to 2019 and 2020. The share of LNG and European gas supply decreased from 19% in 2019 to 16% in 2021. Additionally, the long-term trend of declining domestic production continues with the planned gradual ramp down in production, particularly in the Netherlands, further tightening European gas supply. Domestic production now contributes 18% of overall supply compared to 34%, 10 years ago. Russian pipeline flows steadily in 2020 in response to the oversupplied market and ramped up in 2021. Although, failing to reach 2019 levels. The Cerro [ph] Russian pipeline gas remains unchanged at 31% between 2019 and 2021. Norwegian supply has been relatively stable, representing about 25% of supply. Norwegian pipeline flows to Europe were affected by heavier than usual maintenance this year. Looking at the gas storage filling levels, the tighter supply picture is also reflected in comparably low storage inventories. But please note that Uniper storage physical filling levels are at 95% at quarter end and therefore close to prior year's level and around 20 percentage points above market average, showing how serious we are about security of supply for our customers. But there is some increase in -- the strong increase in gas prices also shows that security of supply is core, that it is not for free and that it belongs back on the European agenda. How this translates into earnings is shown on the segment split, which I will now go to. Q3 is normally seasonally a weak quarter. Looking at the isolated quarter, the overview of the comparable operating profit on a divisional level shows clearly that the year-on-year deviation is determined by our two biggest segments, Generation and Uniper, especially the gas business. The main effect in the isolated quarter comes from Uniper segments global commodities gap business that was significantly above previous year. Additionally, Generation and also City Solutions show a strong uplift based on good operational performance and market fundamentals. Russia and Consumer Solutions were nothing out, despite stronger underlying performance. Bernhard will give further details in his section. The overview of the nine month comparable operating profit on a divisional level shows in essence again three things. Nearly, all segments have been contributing positively year-on-year. Uniper is the main driver for the result improvement, following a strong first and third quarter, but also based on the highlighted full consolidation in Q2 2020. Generation and City Solutions show a strong uplift based on strong underlying performance. What the picture does not show is that the Russian division posted a stronger underlying performance with higher prices and volumes. To sum it up, I'm very satisfied with the performance across the group. Before I hand over to Bernhard, let me give you a brief overview on where we are with our strategy execution. With our strategy, we are securing a fast and reliable transition to a carbon neutral economy by providing customers and societies with clean energy and sustainable solutions. We have defined our four building blocks in our joint strategy. Number one, transform our own operations to carbon neutral, to strengthen and grow in CO2 free power production; third, to leverage our strong position in gas to enable the energy transition, and fourth partner with industrial and infrastructure customers. So, how are we progressing with all of this? First, we are moving fast on our decarbonization ambitions. In Russia, we have been progressing to discontinue the use of coal in Fortum, Russia by the end of 2022. In Q3, we are close to divestment of the Argayash coal-fired CHP that is still needed for security of supply for the region. And we will in our next step switch the fuel of the Chelyabinsk CHP 2 unit from coal to gas. Last time at this stage, I highlighted that we have been able to announce the accelerated closure of almost 40% of our coal-fired capacity, generating capacity in Europe within less than one year. Today, I'm happy to say that, we closed the group's lignite chapter in Germany with the closing of the divestment of Uniper’s Schkopau lignite plant. This is another major step on our way to reduce our carbon emissions in Europe by 50% until end of this decade. Gas will play a critical role in the energy transition. The decarbonization of gas will be a key element to decarbonize the energy and coupling sectors. With our gas business, we are well positioned to ensure reliable and flexible gas fired power generation to enable increasing the share of renewables in the system. Uniper has a strong position in gas midstream in Europe, including procurement, storage, trading, and sales. We want to build on this position and secure increasingly clean supply of gas for heat, power and industrial processes. Natural gas will be gradually replaced with clean hydrogen. Uniper takes major steps in building a substantial hydrogen portfolio. Second, we are ramping up on renewable growth. We want to drive profitable growth without compromising on Fortum dividend, and financial strength. Fortum has been a front runner in creating clean energy generation for decades. We recently won a major share in the latest Russian wind auction to build 1.4 gigawatts of wind with our joint venture partner Rusnano for 2025, 2027. We secured 15 years of CSA backed contracts exceeding our hurdle rate of weighted average cost of capital, plus 100 basis points. We're also progressing with our existing 1.8 gigawatts of existing projects. 1.3 gigawatts are in operation or under construction, and 500 megawatts still under development. When it comes to renewables projects outside Russia, I can say that things are moving in the right direction. But we will not compromise on our value creation targets. Third, we strengthen our balance sheet substantially. In third quarter, we close the divestments of our 50% ownership in Stockholm Exergi, and the sale of Baltic district heating, contributing altogether proceeds of €3.6 billion. With the successful divestments, we have yet again demonstrated that we are constantly creating value for our shareholders, and that we deliver on our strategy and our priority of maintaining a financially strong group. Our leverage of currently 0.6 times financial net debt to comparable EBITDA is clearly inside our target of below two times, underpinning our credit rating of BBB flat with stable outlook. We have good access to capital and capital markets with our liquid funds of €6.2 billion and undrawn credit facilities of €3.7 billion at the end of Q3. When it comes to how we redeploy this capital, let me briefly reiterate what I have said last time at this stage. We are looking for balanced growth that is the triangle based on earnings power with stable and overtime increasing dividend, and a stable investment grade rating of at least BBB flat that is necessary in our capital-intensive industry having to secure access to low-cost debt. All those elements should mutually support each other and not have one of these corners dominate. After the successful strengthening of the balance sheet, the question is where to best deploy our capital. This will be growth in clean energy and gas. Having said that, I want to address some topics regarding Uniper on the next slide. Uniper has proven to be a valuable addition to the Fortum Group. The earnings development in recent years has been strong, following the recovery of commodity prices, and Uniper has demonstrated its ability to embrace change in-sync with market dynamics. We are progressing on our one team's initiatives with determined steps. A joint organization has been established at Fortum’s Generation segments for the Nordic hydro and physical trading optimization with 400 employees. The new organization will become effective in the first quarter of next year. We're also combining our forces under Uniper in developing one teams for renewables and hydrogen. This is taking shape, joint teams have been staffed and the business is being developed. As we are achieving promising initial results from cooperation so far, we have further extended this work across Fortum’s and Uniper’s businesses and functions. One of the latest examples is that we have joined forces in nuclear decommissioning services, which is one of the obvious collaboration fields, creating value for both companies in the combined group. So as experience has shown, working together as one group is making us stronger, faster, more efficient, and more profitable. In order to drive efficient execution of our joint strategy and value creation, we have also explored possibilities for further harmonization across the group beyond cooperation, for example, on cultural harmonization. This is a comprehensive process, which will take its own time. We enter the process with no predefined outcome, and we'll take all aspects into account. As many of you have been asking about our ownership and dividend, let me also comment on those. As you know, we have no restriction nor obligation to buy shares in Uniper, at the end of 2020, our ownership was around 76%, since July this year, after the share price increased above the €30, €31 level, we have not been buying anymore. On the dividends, I can confirm that Fortum Group's dividend policy is intact. Regarding Uniper, it is still premature to discuss any dividend matters, but it is certainly prudent to carefully weigh the dividend against growth, ambitions, financial position, cash flow and rating. The recent volatile market dynamics further enhanced the need to carefully consider the matter. With this, I conclude my part. And hand over to Bernhard for the financial section. Bernhard, please.
Bernhard Gunther: Yes. Thank you, Markus, and a warm welcome also from my side. As usual, I will start with a financial overview on our key comparables. As this quarter has been quite exceptional in terms of market price movements, I would additionally run through some reconciliation's how the market volatility has affected our balance sheet, P&L and cash flow. This will then -- then be followed by the usual view on the segments, financial net debt, and outlook. So starting with a key financial overview summarizing some -- indicators on the comparable level. Let me begin with the obvious, what you see here is a substantial increase across all KPIs following market fundamentals. First, looking at the isolated Q3 in the two left columns, one would normally expect a slightly negative summer quarter as power generation is quite low, while costs are flat, and operating cash flow tends to be low as well, as we build up gas inventory over the summer for the winter season. But this quarter, we saw as most of you know, extraordinary market fundamentals, providing us with opportunities to optimize our portfolio. Second, the nine months figures are not quite comparable to the 2021 as they are affected by the consolidation of Uniper to the income statement from Q2 2020 onwards. Consequently, the LTM column on the very right is probably the best representative indicator for the Fortum Group. From there, one can see the current level of comparable EBITDA of €3.6 billion. And this is somewhat above what I showed you in the previous quarters. The same applies to comparable EPS being at €1.90 per share, in essence driven by the improved market conditions. Our financial position has improved following the closing of a series of divestments that Markus mentioned before. Our credit metrics are rock solid with financial net debt to comparable EBITDA being adjust 0.9 times and accordingly, well below our target of below two times. Depending on the market development and working capital movements in the Uniper segment, we might see some change towards year end. Having said that, let me address what is not so obvious on this slide. The strong increase in market prices gave us and especially our Uniper segment major opportunities to optimize the portfolio. This had some unusual consequences. First, the strong increase in market prices did not only impact sales, but it also impacts the fair value of our financial derivatives and as a consequence -- or which are a consequence of our hedging and risk mitigation activities. Those values went up by a factor of 10 times tripling our balance sheet €264 billion and that's compared to year end 2020. Second what you can see on our balance sheet as most of our hedges are placed as traded markets, the collateral and margining requirements, we have to post have gone up substantially. Uniper faced significant variation margin caused in the third quarter. Uniper worked closely with our business as well as our financing partners to make sure that those cause and the resulting liquidity risks were properly managed. In order to achieve this in the most efficient way, Uniper relied on a broad set of tools, including commercial papers, bank loans, intergroup loans, and ultimately, also operational measures within the commodities portfolio. The very high operating cash flow that you see in our numbers in the third quarter also reflects those measures undertaken by Uniper. Third, when it comes to the reported figures, the picture looks different to the comparable figures as those changes in fair value are also reflected in the reported numbers. I will guide you through this on the next slide. What you see here is a reconciliation of the nine months comparable operating profit all the way down to reported net profit. At first glance, this waterfall makes easily transparent that are in essence two drivers for the mismatch in comparable and reporting product figures and those are both Q3 related. None of the drivers is new to you, but the magnitude of some is unprecedented. First, there's a positive impact. That's the capital gains of the closing of the divestment of our 50% stake in Stockholm and of the Baltic District Heating of in total €2.6 billion. As these are one-offs, we adjust for those. Second, another item affecting comparability is the change in values of derivatives that are used for hedging future cash flow, mainly in the Uniper segment where hedge accounting is not applied. Other Fortum segments are applying hedge accounting and thus the volatility in valuation is balanced versus equity there. As commodity prices have surged, the hedge deals have significantly decreased in value. The loss from hedge instrument valuation amounts to roughly €7 billion for Uniper standalone. However, the corresponding value of Uniper's underlying assets like power plants or inventories is not reflected here as their book values are kept at historic cost under IFRS. This mismatch is only temporary and will resolve overtime as the positions settle, therefore, it is expected to revert. Consequently, at this stage, nine months operating profit is negative with €2.6 billion, including associates and finance costs the nine-month profit before income tax is negative at €2.4 billion. Please note, as Stockholm Exergi has been divested, the associated result will be correspondingly lower going forward. Finance costs include interest expense on our loans, but also the accrued interest income from Nord Stream for Uniper. Income tax is significantly positive as a consequence of the recorded fair value losses. Now, over to cash flow on slide number 13. The strong increase in market prices, brought funding requirements for collateral and margining to extreme levels, as most of our hedges are typically placed at traded markets. Hedges are necessary to reduce the price risk and to have predictable cash flow and earnings over time. Ascertain volatility in margining receivables and liabilities is therefore part of this and normal course of business. With commodity prices and their volatility reaching unprecedented levels, the corresponding margining requirements for the done hedges have gone up substantially, especially Uniper faced significant variations in the margin calls over the last weeks. This is reflected in the change in margin receivables and the net cash from Investing activities, and in the change in margin liabilities in the net cash from financing activities. Uniper worked closely with their business, as well as their financing partners to make sure that those cost and the resulting liquidity risks were properly managed. In order to achieve this in the most efficient way, Uniper relied on a broad set of tools. This includes commercial papers and bank loans reflected in the change in short term liabilities bringing financing cash flow up, but also operational measures within the commodities portfolio having a positive impact on the change in working capital and ultimately on the operating cash flow. Consequently, the very high operating cash flow that you see in our numbers in the third quarter does also reflect those measures undertaken by Uniper. Therefore, please do not extrapolate the figure to the full year. And ultimately, Fortum was always able to provide intra group loans to help through this extreme situation. For me, this is another example that the close collaboration between Fortum and Uniper makes us even stronger, as well as more profitable and shows the advantage of being one group. Now over to the segments. Let's start with generation. Comparable operating profit in Q3 increased by an outstanding 80%. This is the highest third quarter generation results since 2012. The result improvement was supported by the higher achieved power price of €43.7 per megawatt hour, with very successful physical optimization and higher spot price. While the system spot price increased up to €68.3 per megawatt hour, the fairly high hedge levels and the hedge priced below the level of the spot price dampen the effect on the cheap price. Higher Hydro and Nuclear volumes also contributed positively to the improvement. Let's now have a look at the development of the hydro situation on the next slide. In Q3 Nordic Hydro reservoirs have been below average levels falling no precipitation from the summer that continued in Q3 and led to a significant deficit in water reservoirs of 80 terawatt hours below long term average. And please remember that we started with a significant reservoir surplus of around 20 terawatt hours, following a very wet 2020. The trend of low precipitation and low wind speeds has persisted broadly throughout the first nine months of 2021. And we are still below average reservoir level. This development in context of high continental European power prices had a major influence on Nordic spot prices with high volatility, considering that new interconnectors to Germany and the UK have been taken in use during the last 12 months. Looking at the forward curve, the development has been quite volatile, forward saw strong gains until mid-September but change in weather forecasts dropped prices back to the August level. Now coming to our Russia division, Russia is showing a solid underlying performance especially on the isolated Q3. Power generation volumes increased due to higher consumption, following the economic recovery from the COVID-19 pandemic. Comparable operating profit for Q3 was up 30% to €45 million. The effect of the change in Russian Ruble exchange rate was plus 4 million for the isolated quarter. And the net effect of the changes in CSA payments was slightly negative, 3 units were entering the 4 year period of higher CSA payments, while the CSA period ended for the 2 month CHP 1 entering CHP 3. Additionally, we saw some correction to the CSA prices due to lower bond yields. On the nine months the comparable operating profit improved marginally. We saw higher power prices, while there was a slight negative effect from the CSA and please recall that there was a positive effect from the solar transaction with RDIF in Q1. The 9 month ruble effect was minus €19 million on ruble terms there was a clear improvement in our Russian business. Now to City Solutions. Our comparable operating profit was negative in Q3, but improved clearly compared to the previous year following higher power prices. Almost all business areas improved from the previous year, especially in the areas of waste and metal recycling businesses. There was a slight positive result effect of the structural changes from the divestment of the district heating business in the Baltics, as a result of district heating and cooling business typically is negative in the third quarter. Operating profit was affected by the tax exempt, capital gains on the sale of the 50% ownership in Stockholm Exergi and the sale of the district heating business in the Baltics. As you know, this was very beneficial for the group's debt factor. On the nine months numbers, heat sale volumes increased by 6% And power sales volumes increased significantly, mainly supported by a different production mix and the finish sheet business in the first quarter, and the commissioning of a new solar power plant in India. Compared to operating profit increased ten-fold as a result of higher heat sales volumes in all heating areas, higher power prices and higher Norwegian heat prices, due to the price link between heat and power prices there. We are happy to see an improvement in our City Solutions segment after a tough year 2020. That was both affected by mild weather and low prices, and also by the COVID pandemic. Now coming to consumer solutions. In Consumer Solutions, we after a comparable EBITDA improvement in 15 consecutive quarters are now facing a challenging market environment with negative impacts on the rapidly increasing -- of the rapidly increasing electricity market prices, combined with tough competition in the Nordic market, what ultimately resulted in a reduction in number of electricity customers during the third quarter. This could not be offset by the positive impact from value-added services, resulting in comparable operating profit decrease by 28%, quarter-on-quarter. On the nine months, comparable operating profit is nearly flat, mainly driven by the lower number of customers and some negative impact of the rapidly increasing electricity market prices during the third quarter. This was partially compensated by increased unit margins coming from active development and improvement of our service offerings. The strategic review of the business announced in December 2020 is ongoing. And now, last but not least, to Uniper. As Uniper published their results last week, we can state some obvious general comments. Again, please note that Uniper has been included as associate in Q1 2020, giving some distortions when it comes to the first nine months comparison. This holds true not only for the shown earnings, but also for the volumes. Overall, I want to highlight that Uniper’s underlying performance has been very solid. By looking at Q3 2021, we see an extraordinary positive effect from the trading business with Uniper upgrading the full year guidance. Earnings at the European generation surpassed the prior year figure. The business benefited above all from the commissioning of Datteln 4 coal-fired power plant in late May 2020 and returned to commercial operations of urging four and five gas-fired generating units. They also benefited from higher income from the UK capacity markets, but suffered from the unavailability of mass factor 3 [ph]. A significant year-on-year earnings increase at global commodities is principally attributable to the guest business benefiting from volatile rising prices in the current financial year. Additionally, higher earnings from the international portfolio have been supportive this year as well. Earnings at Uniper’s Russian power generation were at the prior year level and now over to financial net debt. Here, you find the changes in our financial net debt and main items of our cash flow during the first nine months of 2021, showing two major items impacting financial net debt. First, we highlighted cash flow from operating activities, that includes partly cash flow management activities to secure financial flexibility in the rising commodity complex that we saw this quarter. And second, the divestments made, additionally you'll see investments made of above €1.1 billion and dividends paid in similar size to Fortum shareholders or minorities. With regards to the leverage target or financial net debt to comparable EBITDA of below zero, we currently stand at a 0.9 underlining our rock solid credit metrics. We have currently €11.7 billion of gross debt and average interest rate for this whole loan portfolio is 1.3%. And please bear in mind that Uniper has also some interest income from their operations. Now, looking at the loan maturity profile, this might appear a bit front loaded. But please note that the increase in short-term liabilities is linked to our cash reserves as we wanted to increase our financial flexibility in this extreme commodity market situation. And you see, our liquidity position is very solid with liquid funds of approximately €6.2 billion. Additionally, since the 30th of September, we have rolled over €1.3 billion from the year 2021 to 2022, maturities in 2021 also include loans of some €660 million with no contractual due date. Now, finally, coming to the outlook, our successful hedging has continued creating predictability and visibility. And you can see also here, again, the Uniper Nordic hedging numbers below the Fortum generation area. Regarding CapEx for 2021, we repeat what we've already communicated, our total group CapEx is estimated to be €1.4 billion for the whole year with maintenance around €700 million. And please bear in mind that there may be always a better volatility between the years as we have not provided guidance for the normalized maintenance CapEx going forward. With this, I conclude our presentation. And we are now ready to start the Q&A session. Ingela over to you.
Ingela Ulfves: Thank you, Bernhard, and thank you also Markus, for your presentations. So as Bernhard said, we are now ready to take your question. So we can begin the Q&A session. Moderator please start.
Operator: [Operator Instructions] Our first question comes from the line of Vincent Ayral of JPMorgan. Please go ahead.
Vincent Ayral: Yes, good morning, and thank you for the presentation. I have actually a question regarding the comments you made on the security of supply. We've seen very high volatility in the commodity markets. And you raised the point of security of supply; renewables are not necessarily contributing and interconnected health to their limited expense. And so when you look at this, what is the solution that will lead to new player, I’m not able to decide market design these in depth changes to the market design needed. You have at the moment no change of assets and developing on contracted renewal. So you have a conundrum in your equity story. And what are you pushing for when you're talking to the commission? So that's question number one. And related to this, it's the taxonomy. So you met with EU commissioning, in Brussels to talk about it, as we discussed, but at the body nuclear transitional gas to discussing. And how do you think it's heading especially on these two topics before the end of the year? Thank you.
Bernhard Gunther: Okay. Thank you, Vincent. The one line started to get a bit bad in the end, but I got the first question about security of supply, I can well I said that, on taxonomy, you started to fade away, so apologies and please then repeat, if I if I didn't get that right. But if I started with the security of supply, I would start from that angle that what the markets need is security of supply, affordable energy and clean energy. And I will say that we are in a good position to provide that today with our capacities. And we can see that we can answer the mid-term and even ad hoc needs of security of supply in the various markets we are operating. And I take on that ad hoc point that, we see in some areas that the DSOs and regulators have to fix things quickly. We can respond to that. We can also provide mid-term solutions with rotating masses and flexible gas, as we are doing today. But we are encouraging the regulator is to build a predictable and long-term and visible path. How we want the energy transition to happen. But I would say so that, from our point of view, we can we can adapt to the different setups, then it's up to politicians and regulators, how do they find the societal agreement? Which type of analysis system, do you want to have? We will work in both. On these specific questions on for example, CCGT is, it looks like if take the prospective German Government, for example, increase ambitions in renewables, increased ambitions in coal phase-out, will obviously result in the need for flexible gas that they have also vocally mentioned. And that's a good segue to the EU taxonomy. So yes, we indeed, met with the commissioner. And we have been visiting Brussels talking with politicians, locally and on EU level. And our key point is that, that we think that transitional gas, and nuclear should be part of the taxonomy aligned generation forms, because they will be needed for the renewables penetration to happen. If we exclude transitional gas, make it difficult to finance, it will reduce the penetration of renewables. If we exclude nuclear, that will lead to automatically to less maintenance investments, less lifetime extensions, and that will impact the half of the current CO2 free generation. And that's, why we are getting both of these. We had good discussions with the commissioner and just encouraged the commission to come up with the delegated act on the taxonomy proposal, in effect with the first time table, good discussions.
Vincent Ayral: And just to, quick follow-up on met and timetable for evolution of the taxonomy, we've seen some, in some press articles, potentially coming weeks. So you talk about timetable. Could you clarify that there? And regarding predictably -- predictable path or market design, some politicians are actually asking for change of design, as potentially long term contracts well suited for your generation that would be including probably better and high growth, how do you see this? Thank you.
Bernhard Gunther: With regards to the date, the only thing I know is about the Commission itself has said that they would want to come out with -- their targets is to come out with the proposal I think on this side of the year. So I understand that they're really working hard to get to get -- to table our proposal. That's an up -- we should ask the Commissioner and Commission, but what they can do. With regards to how to overall think about the different production forms? What we liked very much is the European approach on emission trading and that the fit for 55 package includes more sectors, it has more ambitious linear reduction factor. This would be -- this is a good way we have seen that the sectors in ETS have achieved their reduction targets, of course they achieve their reduction targets because you're not allowed to meet more than what the ETS cap allows. We think this is a good example for now on the back of the ongoing COP26 discussions. This is -- this would be a model that has worked now for example, for countries like Brazil, China, India, Russia, the US comprehensive Emission Trading Systems, Technology neutrality, the efficient capital allocation would result in our opinion in low emission, reliable and low cost energy systems.
Vincent Ayral: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Lueder Schumacher of Societe Generale. Please go ahead.
Lueder Schumacher: Yes. Good morning. Hi. Lueder here with SocGen. Three questions on my side. The first one is on Nordic power prices. On the relative basis, they seem to be artificially cheap compared to well whatever you want German power prices, coal generation costs. And I know you don't usually comment on calendar forwards because it's just an opinion. But what strikes me is spot prices, because they always reflect the reality. Now there's normally a very strong correlation between Nordics day ahead prices and Oslo day ahead prices, which makes perfect sense as the amount of hydro and the system is determining prices. However in Q3, this correlation has completely broken down. So we see also Norwegian spot prices still very high, which would be in line with the deficit we're seeing in hydro reservoir levels you mentioned earlier the 18 terawatt hours. But Nordic spot prices have come back a lot since October. We'll be interested to hear your view on what's going on there? As I say, it's a very long -- very strong correlation that held for a long time and this have completely broken down in, in Q3 and afterwards? Next two questions are lot more simple, I mean, that they're not -thank you very much for taking us for all the adjusted items. Could you also tell us where you actually see adjusted net debt at year end with all the numerous non-operating results impacting the numbers and potentially reversing in Q4? So the year end adjusted net debt level will be interesting. Then lastly on the Russian wind auction. You did give us the IRR that you secured there. Can you also give us the exact level of the CSA payments you've secured in that auction and also confirmed that you actually have locked in all the component cost for the project already?
Markus Rauramo: Okay. Maybe I'll let Bernhard start with the easy question of where the net debt will be at the end of Q4.
Bernhard Gunther: Yes. Hi, Lueder. And -- well this question does not come as a complete surprise to us. Probably, our answer won't either. So as you know, we don't guide net debt and especially after this volatile quarter in terms not just earnings volatility, but also the cash flow volatility, which we commented where we had also shifts, especially on the unit per global commodity side between quarters. We just said we should -- you should not extrapolate the Q3 development one to one to the full year. So, sorry for that but that's as much as we can say.
Lueder Schumacher: But Markus said it was a very easy question.
Bernhard Gunther: Yes. But -- it was easy because the answer was maybe a bit predictable. So -- and sorry to disappoint you there. But, I think, if anything, the third quarter events were one more lesson in terms of the -- yes, how volatile our business can be, and of course, how important it is to be a strong player.
Markus Rauramo: Yes. And obviously, this is -- easy part is a little bit tongue in cheek as you all understand about that. But I think the still of course, we try to be as helpful as possible and the components and elements that are impacting those we know and then the tricky part is that where will the markets move during the quarter. What is the operational performance and so on? I think the key -- the really big key drivers are the capital rotation elements and then the short-term impacts from the hedging and resulting cash flows. This will be probably volatile in the quarter and working capital impacts, which is as to the first question about to Nordic power prices. If I start from the high level, so -- what is then driving the actual pricing is the supply/demand balance. The production costs -- the Nordic -- the total Nordic production portfolio if we take everything looks very different compared to the continental European one. So we do see if you look at the different both achieved prices and realized prices and short term forward prices we fully see the impact of the cost of -- marginal cost of condensing on the continent. And on the other hand, nuclear hydro wind combined heat and power both for industrial land and district heating on the Nordic side. So very different kind of production portfolios leading to very different kind of beating into the market. And then we know well that the -- if we take the big picture, Nordic versus continent, the transmission life, transmission capacities restrictions these then ultimately will settle, what the various area prices are. The same then goes for the Nordics. So, there are certain price areas and how they're made up, you have the split within the countries. And between those areas, we have the same phenomenon we would have between the Nordics and the continent in the big picture. So depending on what the local dynamics are that will result in the area prices and area forwards. On that you mentioned the decoupling between Oslo and Nordic that I can't really, really comment, but I'm thinking from the bigger picture. I don't know if you Bernhard have a view on that?
Bernhard Gunther: Well, it's certainly some very recent trend. And as Markus said, I'm also not the expert on these market analytics. But what we have observed since the beginning of 2001 is that there is a growing disconnect between the Norwegian, especially the Oslo price areas and the Swedish price areas. So also related with the additional interconnected capacities, that theoretically, of course, should then spillover across the whole Nordic copper plate. And we see basically that there seem to be congestion effects. As far as I'm aware, also, Seneca cabinet has considered those and sometimes there seems to be kind of curtailing of capacity between east and west flows between Sweden and Norway. And this is another factor to this overall fragmentation of the Nordic copper plates that we have been observing in recent years. Maybe just for your final question Lueder on the Russian wind auction, so the CSAs there for new capacity RUB 2,600 per megawatt hour going up to RUB 4,200 per megawatt hour, that's the inflation adjustment.
Markus Rauramo: And on the -- on -- you had the question about the comfort on the supply. So, yes, that would be a normal for us. That when we placed a bid, either we have secured contracts or let's say for this type of a situation, where we talk about 2025-2027 volumes, we have good comfort that that we get surprised at the levels which then correspond to the mentioned project returns with these prices. So, yes, we have we have comfort, that that we can make these returns. One thing, I'd note and actually they are -- so our hurdle rate is to one -- plus 100 basis points and projects can return more than that, which is also the case here that we are targeting more and the work takes the country risk into account. What is the positive with the process that Bernhard mentioned, I think this was a real milestone in Russia, because now for Russian industries and industries -- international industries operating in Russia, this means affordable competitive green energy. And you have seen us we have signed many, many contracts already for our wind power in Russia. Shell, Baker Hughes, Mosenergosbyt, InBev, Sberbank, et cetera. And, and now in our recent trips to Russia, we are getting increasing and high interest actually to sign-on on green electricity. So I'm very happy about our ability also to -- to speed up the de-carbonization in Russia and helping the Russian industries who are suppliers to European customers and European and global industries green their business as well.
Lueder Schumacher: Okay. Thank you very much.
Operator: Our next question comes from the line of Iiris Theman of Carnegie. Please go ahead.
Iiris Theman: Hello, and thank you for taking my questions. I have a couple of questions, please. So firstly, you reported the strong growth in hydropower volumes year-over-year despite much lower hydro reservoirs in Sweden and Finland. So what was the reason for this? And what is the outlook for Q4 in terms of hydropower volumes? And then secondly, how did your optimization premium included in your ASP calculation developing generation is the compared to for example, Q2? And can you remind us, what is the level where your optimization premium has been on average in history? And thirdly, I think in the Q2 call, you talked about with higher costs for Q3 in generation. So how did these materialize and what to expect in terms of costs for Q4 in generation? Thank you.
Markus Rauramo: Okay. I can start with a couple of questions. Last question, I didn't -- I didn't really catch. So, maybe -- if you can repeat that question please.
Iiris Theman: Yes. I think in the Q2 presentation, you talked about a bit higher cost pays for Q3 in generation. So, how do get this materialize?
Markus Rauramo: Okay. If I start with the -- with the strong growth in hydro, how -- how would it match with the generally hydro reservoirs being lower. So, if you look at the whole Nordics, then the lion's share of Nordic reservoirs actually is Norway. So much, much bigger than Sweden, Sweden is bigger than Finland. So, what the -- what the overall situation in the Nordic hydro reservoir is not something that necessarily is the case for any individual producer. So, our situation with our reservoirs maybe -- maybe different. And with regards to Q4 hydro volumes, this is the same situation that, there is a deficit compared to -- to the long-term average, which has been narrowing a bit now in the -- in the recent weeks. But then our situation may be different. So we are not giving a forecast on the volume for -- for the current quarter. The optimized -- optimization premium that actually developed well, and the physical and financial historically it's been -- we've said, a €2, €2 to €3. And I would say that, okay, now we're in the -- in the higher end of that optimization area, it's worked very well. And there are two factors. One is the volatility on prices and the other one is that, our assets available are they flexible? Can we -- can we utilize the volatility when the -- when the situation is there? And we have been able to do that. With regards to generate some cost base, I don't know. Bernhard, if you have…
Bernhard Gunther: Yes, I think if I -- if I understood you correctly, so the line is probably not -- not too good is you're referring to the Q2 remarks we made on Generation cost and what we said there is because it was a relevant driver in the quarter-on-quarter comparison in Q2 and we explained that a significant part of it is of a kind of non-structural, non-recurring nature. And this is something we just can't confirm yet. So it's not that we you know, increase in cost base as a major driver of explanation of quarter-on-quarter results in Generation currency.
Iiris Theman: Thank you.
Operator: Our next question comes from the line of Peter Bisztyga of Bank of America. Please go ahead.
Peter Bisztyga: Yes. Good morning. So, three questions for me. Firstly, your 6 billion of liquid funds, I guess would normally be very inefficient use of capital in what still a negative rate environment. But it's the reality now that you need that level of liquidity to manage commodity price volatility, particularly given own Uniper. So, how should we think about that, please? Following on from that, I'm not sure I understand the situation with the Uniper dividend being suggesting that Uniper has some sort of liquidity issue. And so it's better to retain the cash there? Or is there some other reason why you don't want them to pay you a dividend? And then my third question is your decision to stop buying Uniper shares in July, suggests that you kind of think it's overvalued. Now, can we take that to mean that we should not expect a minority buyout as long as the share price remains elevated? Thank you.
Markus Rauramo: Okay, I'll let Bernhard take the liquidity question but which you asked the Uniper dividend? This is not yet the time to have to actually applying on that tonight at the company to present our shareholder to take a view on that. I know the elements that are important, longer-term question, how much returns of capital, how much capital into growth. And indeed, the current liquidity situation, the current volatility is something that the company needs to take into account. With regards to the -- to my comment about not buying beyond the range of 30, 31. That's just a factual statement what we have done. I'm not taking any view on whether we would be buying or not buying shares. For us, it is an economical consideration. The comment -- earlier comment about the DPLTA squeeze out. That's just a comment that we have said that until the end of this year we will not do those. But that has not been restricting us from buying shares. And the comment about the timing and the price is a factual statement.
Bernhard Gunther: Yes, maybe then answering your first question, Peter on the 6 billion liquid funds. Yes, the liquidity swings have been massive for big commodity players. Yes. So if you just take as a hypothetical example, somebody who might have a portfolio of 100 terawatt hours forward sold gas, yes. And then the price goes up by €10 per megawatt hour, that's a billion. Yes. And we have seen price movements, as you know, well, in gas, which were far larger than €10 per megawatt hour. So, of course, it in the long run, this is inefficient. But of course, in the short run, we think this is prudent liquidity management.
Peter Bisztyga: Can I just sort of maybe follow up on that, Bernhard? You've got very good liquidity because of the disposals that you've done. If you hadn't had that liquidity, would you just been able to rely on short term loans, working capital facilities to fund that? Would that potentially been a problem over the last few months?
Bernhard Gunther: As we said, as a group as a whole, we have we have a pecking order of liquidity, liquidity instruments, yes. And there are certain ones like your revolving credit facilities, which you would normally not draw without a reason, and there are others, which you can easily tap into. And so, we are in the comfortable situation, as you see from the numbers, that obviously, we still had ample of water under the keel. But you also have heard that there were intergroup loans between Fortum and Uniper. So what I'm saying applies to the group as a whole.
Peter Bisztyga: Okay. Thank you.
Operator: Our next question comes from the line of James Brand of Deutsche Bank. Please go ahead.
James Brand: Hello, good morning. Just two questions from me. Firstly, on the net debt, I appreciate you don’t want to give guidance for the full year, but there's some pretty unusual swings in net debts. And I was just wondering, whether you could maybe comment on the influences on net debt at the normal stage, the new sorts, or that you think will be temporary, but whether there'll be temporary by year end or not, or whether they'll just be temporary. At some point, it'd be useful to have a bit more of an idea as to what might reverse the influence on the mind on net debt? And then secondly, I was wondering, whether you could share your views on biomass. Because it's a fuel that you don't really talk about, either, but doesn't really talk about. There's obviously some debates out there as to whether biomass is really great or not, but in an environment where lots of people are trying to get their heads around how within the harmonizing energy systems, maybe a bit less relevant than all that's given you have a lot of balancing power anyway. But taking pretty much all of the rest of you of how we're going to balance power markets in environments where we have lots and lots of very intermittent renewables. It seems like biomass is quite an interesting fuel. And obviously the Nordic ship a lot of trees, you've got experience yourself for biomass. So just kind of wondering, what your views are on biomass and why we don't hear you talk about it more often? Thank you.
Bernhard Gunther: I could start with the biomass and if you take the net debt question, it's a good question actually. So, if you look at the Nordic and Finnish energy mix, biomass plays a very big role. So it comes either directly in industry thing, cogeneration of heat and power and also on the industrial side. So, for example, modern pulp mills are huge factories that churn out power and pulp and other side products. So biomass in the Finnish context plays a very big role. And I think biomass should be definitely recognized as part of the fuel sources for different processes. Then looking at the European level, we talk about 5,000 terawatt hours of annual gas use, 3,000 terawatt hours of electricity use and a big need to electrify the society in order to reach the climate goals. And all the forecasts, so I'm looking at or predicting that that this comes through first of all, massive phasing out of coal, lignite and partly nuclear unfortunately, and then the energy amounts will be replaced mostly by renewables, solar and wind. And then, we talk about huge volumes. And then to balance that out for the flexibility, then gas would be the mid-term supply of flexibility, gas-fired power generation. Not to forget that, when we again coming back to the taxonomy, gas is important, but nuclear is important to have in the taxonomy, because out of the CO2 free power we have today, almost half is nuclear. So that will be needed as well regionally, where biomass is available, and like in the finish context, it comes largely as a side product, whether we talk about some goods are pulp then other rest bark lignin, etcetera, that doesn't translate into other byproducts turns into energy to power and heat. And tree branches, stumps, etcetera are used in the typically in the district heating, production, so where it's totally applicable? Absolutely, but in the big picture, the big really moving parts for Europe are renewables, gas, hydro, nuclear.
Bernhard Gunther: Yes. Maybe, then briefly on your first question around net debt, I can maybe provide some helpful guidance on the various moving parts, yes, in this, so without giving guidance on the net debt number. And I think the basically the difficulty to predict net debt and for year end, is that in operating or cash flow from operating activities. And there's one component, you have both about an element. We do know, but we do not guide which is the swings in the inventories and receivables and liabilities from the global commodities business, which this quarter were extraordinary and to some extent will have to swing back in following quarters, not just Q4. And the second element of course, is the overall nature of the global commodities business which are on a quarter-by-quarter basis is not easy to forecast. Of course, Q4 normally is a stronger quarter than in a typical year, Q2 and Q3, what we have seen this year how fast this can change. So these are the moving parts, all the other component parts of the net debt equation, or the waterfall you'll see on our page 20 in the presentation, they are pretty stable, predictable, and don't move wildly between the quarters. Of course, if there would be further divestments closed in Q3, this, of course, might also influence the divestment number.
James Brand: Great. Thanks so much.
Operator: Our next question comes from the line of Sam Arie of UBS. Please go ahead.
Sam Arie: Hi, good morning, everybody. And thanks, as always, for the presentation today. And well done on the results.
Bernhard Gunther: Thanks, Sam.
Sam Arie: I'm kind of way down the order four questions. So I mean, most of the topics we would want to ask about being covered, but perhaps I could just dig in for a little bit more detail on the situation with Uniper. And I think if you forgive me, there's sort of three questions I want to ask there. And as follows, I think number one, apart from the sort of minor simplification benefits, which you've talked about before, so the kind of potential be duplication of management, governance, reporting, and so on. Is there any other benefit you can see in having a domination agreement or buying out the minorities at the moment? And for example, is there any large-scale restructuring decisions that you think are interesting, which would not be possible for you to implement under the current status quo? That's my first question. The second one, maybe Bernhard this one is a bit more for you, but given the possibility of co-investment now with Fortum and Uniper share in the CapEx cost on different projects and intergroup loans, which you talked about today, is there actually any issue at this point around cash pooling between Fortum and Uniper? So, I suppose what I'm saying is from the Fortum point of view, does the level of dividend from Uniper does it matter very much to you, in your financial planning? I'm not asking for guidance on what the Uniper dividend would be obviously, we're just wondering whether it makes any difference to you now, what cash comes in from the Uniper dividend or whether you could just balance your financial needs with tweaking the rate where Uniper coinvest in certain projects or the rate that which they pay back intercompany loans and so on? And then my sort of third question is, if there's no significant additional benefit for now, and if cash pooling isn't an issue, just wondering if you've considered extending the moratorium that you had on further action with Uniper, which expires at the end of this year, and at least that would be a way to provide the market with a bit more clarity about your plans?
Markus Rauramo: Okay, thanks. Again, I think I take the first and third question and let Bernhard take the second question. With regards to what potential benefits could there be? Well, we do have delisted companies, when we cooperate, we do have to deal with two different processes and reconciliation in between. So, simplification sounds maybe simple and easy, but there is a lot of potential on that front with not having to have double processes. But we can well manage, like we are today in the DPLTA group and people are making huge progress on the cooperation and on the one streams, which have been very successful. Would we what do we extend our previous statements that we have said this is what we have said for the time being. So I wouldn't go beyond what we have said earlier and the information we gave today.
Bernhard Gunther: Yes. So on this whole aspect of -- I think the gist of your question was about or does Fortum need the unit for dividend to for whatever Fortum needs on a on a group cash position be it paying dividend or what else? No, we are not dependent on this short answer.
Sam Arie: Understood. Not dependent like is it an important factor for you or is it basically now you know, offset by these other ways that you have flexibility co-investment and the intergroup loans?
Markus Rauramo: In that context, it's not an important factor.
Sam Arie: Very interesting. Okay. Well, thank you so much both of you for that commentary. It’s really helpful.
Operator: Our next question comes from the line of Louis Boujard of ODDO BHF. Please go ahead.
Louis Boujard: Yes. Thank you very much for taking my question. Good morning, everyone. First question on the generation business, maybe I understand that in Q3 results really good performance, that very good expectation in anyway -- is related also to a better volumes notably in nuclear on top of hydro and the capacity to catch some short-term prices into the spot market. My question would be the following, notably a nuclear for next year, for instance, what would be the level of maintenance program, is it really contract fixed? Or do you have latitude eventually, depending on the market positions? And would it be higher in terms of potential outage, then system 2021 of eventually lower or relatively aligned, what we can see if you have capacity to actually keep on taking advantage of spot pricing next year result? And the second question would be out of curiosity regarding the accounting investment, and notably for the fact that you cannot apply hedged continue -- you cannot apply hedged continue on the position they have. In my understanding, part of the reason for it is, according to a detail because of the fact that eventually, the hedged might not be perfect. Is it indeed the reason for that? And my question also would be, if you were to make a free integration of Uniper, et cetera would it mean that you might eventually have any way to have more to apply hedged accounting on this elements going forward? And one last question regarding consumer solutions. Notably regarding the evolution that is under pressure for this quarter, obviously we understand that the current market condition is not the best one for this kind of facets, how do you see it evolving in the future considering the general availability in market and relatively high market prices, I'm not going to ask regarding your thinking on the position of this facet because you clearly stated that it is still open discussion in this point?
Markus Rauramo: I can start with a couple of questions and the -- on which regards to the nuclear maintenance. If we look at the long-term, then we need to do maintenance a lifetime extension investments into the nuclear and the annual variation depends then on what kind of outages you have, I think our IR is happy to give the details that are announced and they're published a couple of years ahead in the North Pole, what kind of outage days we have this year or next year. So maybe Ingela and team can give color on that then later. With regards to the pressure on the consumer business, I think it kind of a secular pressure right now is the -- are the high and volatile prices. So that's something that that has not happened, I mean, into this extent for some time. The other pressures, high competition, new type of entrants, new type of products, this is something we are of course familiar with that and we have been very successful. And we are well positioned to do good business in this area. But with our value-added products with deficiencies we have gained with half so on. So I would say we're now in a very strong position in the consumer solution business, and the volatility we now saw was something unprecedented. And I know that our customer service centers have been taking a lot of calls from concerned customers asking what happens to their invoices and so on. And also the corona had an impact on how we actually sell new contracts so the type of shopping mall sales -- face their sales on streets and so on. These were more difficult in corona times. And I assume that will eventually normalize. And I could let Bernhard answer this, but I will just shortly comment on hedge accounting that what we try to do and I'll let you take technical part, but we tried to exactly give the visibility to the adjusted or compatible EBIT numbers so compatible operating profit numbers. So you can do a lot of work on hedge accounting. But if you can give the same visibility with the compatible number, then I think that the whole point is to give a number that reflects the underlying business and that's what we do there. You want to talk more about hedge accounting.
Bernhard Gunther: Well, let's aspect -- I mean, do you have further questions regarding this hedge accounting?
Louis Boujard: No, no, it's okay. You can -- we can go with it this time, if you want.
Bernhard Gunther: Yes. Thank you.
Operator: The next question comes from the line of Deepa Venkateswaran of Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. I had two questions. One on gas and basically the green taxonomy. So I think you've mentioned transitional gas. Would you mind clarifying what you mean by transitional gas? Is that just new gas plants that are hydrogen ready or are you in the definition, including all existing gas assets, and so on? And second question for Bernard, sorry, again, to come back to the CFO and net debt. I mean, clearly in the way the margin has been accounted for, the margin payments, et cetera is not forming part of net debt. But all the optimization activities like the working capital et cetera is benefiting the net debt definition. So I just wanted to clarify, you know, your cash flow from operations in this quarter is increased by 2.3 billion, out of which the EBITDA was close to 600. And then you had working capital, what's the remainder? And presumably, you know, all of this should unwind, right? I mean, the cash conversion should be more closer to normal. So could you just clarify that? Thank you.
Markus Rauramo: Okay. I can start with the gas taxonomy. It's a really good question. Our point on the gas in transitional gas inclusion in taxonomy is that we need flexible gas plants that are clean gas ready. And that run low running hours annually, but they provide the security of supply and they provide the flexibility to match with the massive volumes of renewables that must come into the market. The systems cannot take the required amount of renewables if there isn't something that flexes. That's the point there. So, yes, I'll….
Deepa Venkateswaran: It more the age to ready plants or something like because today's gas plants aren't really clean. So there has to be some new thing or I suppose in Germany, CCS is impossible. So does that -- this by definition applies to new plants.
Markus Rauramo: Yes, the point is about -- my key point is about the new plants that are required for the transition to be possible. And of course, we are in continuous dialogue with the OEMs, who are developing the turbines and engines and solutions for increasingly clean gas. But also we know realistically that we're some way until we get there. So, this is a really big question for the society and for the politics, how to do this pathway. But I'm -- honestly, I'm really concerned that if we make a taxonomy that becomes very binary and excludes the elements that are required to make the transition happen, we're not going to see the transition that we want.
Deepa Venkateswaran: Okay. Thank you.
Bernhard Gunther: Yes. So Deepa to your question on net debt and yes, operating cash flow, working capital. Of course, you're right the receivable and payables from margins are not part of the net debt equation. The cash flow is -- it also and those parts of the cash flow, which are driven by operational measures are part of this. So we think it is here to represent it but this is exactly why we added or attached the caveat that the cash flow for the third quarter is exceptionally strong, because -- yes, also business levers have been pulled to improve cash generation and liquidity and therefore, the extrapolation is not that easy. So, if you -- I think if you look at our table on slide number 13 or the more comprehensive material and the interim report, you compare 2021 versus 2020 and especially the two third quarters, you get quite a good feel for how much variability there can be out of these specific measures we have taken. And yes.
Deepa Venkateswaran: Okay. All right. Thank you.
Operator: [Operator Instructions] Now next question comes from the line of Lueder Schumacher of Societe Generale. Please go ahead.
Lueder Schumacher: Hi. Just a very quick follow-up on my side. Disposals, you haven't spoken about this yet and disposals still to come yet, so many bookings flowing in Q3. when can we look forward to the next slot of booking? I would have thought customer solutions, not the best operating environment at the moment. So this might be slightly longer term issue but where are we on the remaining district heating assets. Are they sale processes that are well underway? And maybe can you give us any idea about the timeline there?
Markus Rauramo: Yes, so these are not by definition. These are strategic reviews and not divestment processes. So we are assessing what would be the best strategic future for these assets, whether it's consumer solutions, our or our policy this repeating business. And that's exactly what we are doing. With regards to the philosophy on why certain assets are under review if you take our Baltic businesses, Stockholm, and Exergi. These were businesses where we had invested heavily decarbonize the assets, optimized them, and we had done the majority of the work we can do. And then we started to think that that -- could there be a different kind of ownership structure or future for these assets? We have, we have many assets, which have potential to be decarbonized and there's a lot of work to do -- a lot of work we can do, add value optimize. So I would just categorize assets into to do -- two different buckets.
Lueder Schumacher: Okay. Thank you.
Operator: And there are no further telephone questions at this time. Please go ahead, speakers.
Ingela Ulfves: Thank you so much, moderator. And thank you, everyone for your questions. We do have some questions on the chat, but in order to be conscious of time, because we are now already one and a half hours into this, then what I suggest is that those questions, if you can redirect to us in the IR team, then we will come back to you on those. Most of them have been touched upon already. So in that sense, we are then happy to continue the discussion with you directly. But at this point, then we would thank everyone for your participation here today. And on behalf of Fortum wish you all, a very nice rest of the day. Thank you.
Markus Rauramo: Thank you very much. Have a safe, safe and good day. Bye-bye. Thank you